Kentaro Matsuoka: Thank you for your participation in our first half FY '25 results meeting while you're busy today. I am Kentaro Matsuoka, CFO of the company. While some uncertainty regarding U.S. tariff policies has dissipated and there are signs of easing environmental regulations, price competition, mainly driven by Chinese manufacturers, has intensified further. Geopolitical and macroeconomic uncertainties such as supply concerns due to U.S.-China tensions and economic stagnation remain high. Under these circumstances, the sales environment surrounding us continues to be severe, compounded by rising costs and a delayed recovery in demand. Against this industry backdrop, our results for the first half FY '25, as shown in the slide, showed a decrease in both sales and profit on a year-on-year basis. Net sales were JPY 1,261.3 million, decreasing 4% Y-o-Y. Operating profit decreased 81% Y-o-Y to JPY 17.3 billion. And the OP margin decreased 5.5 points from 6.9% in the same period of last year to 1.4%. Ordinary profit was JPY 15.8 billion. Net loss was JPY 9.2 billion, primarily due to temporary factors such as JPY 7 billion valuation loss in U.S. environmental credit following changes in U.S. environmental regulations and JPY 6 billion in losses associated with the withdrawal from a joint venture engine plant in China. Retail sales decreased 6% Y-o-Y to 384,000 units. Please turn to Page 4. In this slide, you can see the factors behind the Y-o-Y changes in the operating profit for first half FY '25. In terms of volume mix, the impact of decreased wholesale volume due to the discontinuation of some models in North America and other regions was offset by price in others, resulting in an overall increase of JPY 1 billion in operating profit. Sales expenses decreased operating profit by JPY 10.9 billion overall as an increase in incentive to address intensifying market competition was partially offset by a reduction in advertising expenses. Procurement costs and shipping costs resulted in a JPY 1.2 billion decrease in operating profit as the increase in the material costs and factory expenses due to inflation and other factors are largely offset by procurement cost reduction activities and shipping cost improvement. Additionally, R&D expenses and other items each decreased slightly. ForEx exchange had an unfavorable impact of JPY 38.4 billion operating profit compared to the same period of the previous year due to a trend of yen appreciation against the U.S. dollar and yen depreciation against the Thai baht. Please turn to Page 5. In this slide, you can see the factors behind Y-o-Y changes in operating profit for second quarter FY '25. Regarding volume mix and price and others, the impact of decreased volume due to additional tariffs in the U.S. and intensifying market competition in some parts of ASEAN was partially absorbed by price improvement and other factors. However, this overall resulted in an unfavorable year-on-year impact of JPY 6.8 billion on operating profit. Sales expenses reduced operating profit by JPY 1.9 billion overall, mainly due to an increase in incentive spending at Oceania, Europe and ASEAN, which was partially offset by a reduction in advertising and promotional expenses. Procurement cost shipping costs increased by a total of JPY 2.3 billion as the negative impact of an increase in material costs, mainly due to inflation was partially offset by -- partly due to the completion of new model development. Other items increased by a total of JPY 5.4 billion due to expenses such as those for the environmental regulatory compliance. Impact from ForEx exchange rate resulted in a JPY 17.5 billion negative change to operating profit. Please turn to Page 6. I would like to explain our retail sales performance. Compared with the same period of the previous fiscal year, global retail sales decreased by 6%. This was primarily due to a decline in retail sales volume in the region other than Japan, Latin America and the Middle East and Africa. Please turn to Page 7. First, I will explain the ASEAN and Oceania region. In the ASEAN region, automobile demand remains sluggish in Thailand and Indonesia. In contrast, the Philippines continues to experience solid demand. Amidst this market environment and intensifying sales competition in each country, we have largely maintained our market share through flexible responses. Moving into the second half of the fiscal year, aim to expand our market share through the full-scale market expansion of new models among other initiatives. In Australia, the total demand for automobiles slightly increased year-on-year. However, the market environment remained challenging as sales promotion driven by intensified sales competition and propping up demand. Most the sales volume and the market share decreased partly due to the impact of models whose sales have been discontinued. Going forward, we will focus on bolstering our sales volume through both the expanded sales of new models, ASX and strengthening collaboration with the fleet partners. Please turn to Page 8. Next is Latin America, the Middle East and Africa. In Latin America, although some markets are experiencing intensifying price competition, the recovery trend continues across the region, supported by robust domestic demand. This environment, we're able to increase sales year-over-year driven by the expanded sales of the new L200/Triton and the new Outlander Sports Xforce. We'll continue to roll out these new models to boost sales throughout Latin America. In the Middle East, while total automobile demand temporarily plummeted due to the impact of the certain conflict has generally remained robust. On the other hand, intensified competition has also impacted our sales. Going forward, we will strengthen cooperation with our distributors and partners in each country. We will position our brand pillars, the Outlander and L200/Triton at the core of our sales strategy and work towards achieving our targets. Please turn to Page 9. Here is Japan, North America and Europe. In Japan, total automotive demand was generally flat year-over-year. Despite the discontinuation of some models, our sales volume increase is primarily driven by strong sales momentum of Delica D:5. Going forward, we will aim to further expand sales volume and market share by ensuring a successful launch of the updated Delica Mini. In the U.S., which accounts for the great majority of the North American region, automobile demand increased due to a surge in demand, which is fueled by the anticipated price increases from additional tariffs in the timing just before the discontinuation of the federal tax credit for electric vehicle purchases. On the other hand, our sales volume decreased primarily because the suspension -- suppression of sales expenses in the first quarter as a response to additional tariff made it challenging to expand sales. The market environment is undergoing significant changes, including shifts in tax systems, environmental regulations and the expiration of the EV tax credit. We will accurately identify competitors' trends and customers' needs and promote the achievement of our plan through flexible responses. In Europe, while automotive demand saw a slight increase year-over-year, our sales volume decreased Y-o-Y, affected by intensified sales competition in key countries. Going forward, we will promote sales expansion of the new Outlander PHEV and focus on ensuring the successful launch of the upcoming new models. Next, Mr. Kato will explain the full year outlook for FY 2025. Please turn to Page 11.
Takao Kato: Looking back at the first half of FY 2025, companies across the industry were forced to review their production and sales strategies due to cost increases and market disruptions from tariffs and the emergence of Chinese competitors. This resulted in a half year characterized by an increasingly uncertain outlook and ever fiercer competition for the industry as a whole. Despite headwinds from the external environment, our company took agile measures, enabling us to achieve results that surpassed our initial plan for the first half. Based on the current business environment and recent performance trends, we will maintain the profit plan within the full year FY 2025 forecast that was revised on August 27. However, due to changes in retail and wholesale volumes, we will revise our net sales forecast to JPY 2.82 trillion. Additionally, the dividend per share will be maintained at JPY 10, in line with the initial plan. We will continue to strive to achieve our plans by responding swiftly and flexibly to changes in the external environment. Please turn to Page 12. This slide explains the factors behind the year-on-year change in our operating profit forecast, which was revised in August. In terms of volume/mix and price, we have revised the volume/mix following the adjustment of wholesale unit sales, and we project a total increase in profit of JPY 63.5 billion compared to the previous fiscal year. The effect of new models, which will fully take hold in the second half of the fiscal year is expected to contribute to increased profit in ASEAN, Oceania, Europe and Japan. Sales expenses are projected to further increase due to intensified market competition in various countries, resulting in an anticipated total negative impact of JPY 32 billion on operating profit. For procurement costs and shipping costs, with upward pressure on material costs due to inflation exceeding expectation, we anticipate a negative impact of JPY 24.3 billion on operating profit. R&D expenses are expected to show a slight improvement. And for other expenses, we anticipate a total improvement of JPY 4.3 billion, primarily through the promotion of fixed cost reduction. Regarding foreign exchange, no changes have been made from the initial announcement, and it is a JPY 51 billion decrease in operating profit. Regarding the impact of U.S. tariffs, as we have already disclosed, we estimate the impact to be JPY 32 billion. Please turn to Page 13. We have revised our full year retail sales volume forecast as shown on the slide, in light of current demand trends and sales results to date. Primarily, we lowered our forecast for ASEAN, Latin America and the Middle East and Africa, while we raised our forecast for North America, anticipating sales opportunities arising from tariff reductions. Next, we would like to present our recent business highlights. Please turn to Page 15. The new Destinator began its full sales launch in Indonesia, its initial target market at the end of July. By the end of September, orders had already surpassed 10,000 units, significantly exceeding our initial expectations. We believe we have achieved solid results by introducing a product that meets customers' needs, particularly in a challenging Indonesia market where total demand has seen a continuous decline for 28 months. Looking ahead, the Destinator is scheduled for sequential rollout in the Philippines and Vietnam. The Delica Mini and the eK Space, which went on sale at the end of October, have already secured over 10,000 preorders, marking a very smooth start. The Delica Mini has been a popular and iconic model, symbolizing our brand since its launch in 2023 and has garnered considerable support from numerous customers together with its official character, Deli Maru. With these new models, we have further enhanced their driving performance, functionality and comfort, and we hope that they will be chosen by many customers as reliable companions for their adventures. Furthermore, we have made significant improvements to our all-around minivan Delica D:5 and began accepting preorders on Thursday, October 30. This new Delica D:5 further enhances its unique characteristics of powerful styling and exceptional driving performance. The new Delica D:5 is scheduled for release this winter. Please turn to Page 6. For the European market, we will begin the sequential launch of the all-new compact SUV Grandis before the end of 2025. This model supplied on an OEM basis by our alliance partner, Renault, is based on the CMF-B platform. The lineup will include mild hybrid and hybrid EV models. In September 2025, we held the world premiere of the all-new Eclipse Cross battery electric vehicle in Brussels, Belgium and announced its sequential launch in the European market. The new Eclipse is our first BEV in Europe and plays a strategic role in our electrification road map. Please turn to Page 17. Next, I would like to explain our structural reforms. Although some improvement is expected on the U.S. tariffs, we forecast that the severe competitive environment will continue. Under these circumstances, we have been implementing flexible and swift measures to secure profitability. We executed the withdrawal from our engine plant in China in July. And going forward, we will continue to implement the necessary structural reforms in a timely manner. In Thailand, while we have been advancing structural reforms since the last fiscal year, the business environment has recently become even more severe. This is due to a combination of factors, including a decrease in demand for pickup trucks, intensified competition with Chinese BEVs and the deterioration in export profitability caused by the strong Thai baht. In light of the situation, we have decided to suspend operations at the third plant of our Thai subsidiary, MMTh, as the next phase of our reforms. We will consolidate vehicle production into the first plant to improve efficiency. Furthermore, we will utilize the site of the suspended plant to attract suppliers and as a parts storage hub, thereby strengthening our cost competitiveness. Going forward, we will continue to enhance our competitiveness through agile reforms. This concludes our explanation. Regarding the U.S. tariffs, a major topic since the beginning of the year, while the situation has become clearer, a high rate of 15% will be maintained. In addition, we believe the automotive industry will undergo extremely significant and dynamic changes driven by factors such as aggressive price cutting by Chinese manufacturers, supply concerns for rare earth and components, stemming from U.S.-China tensions, a slowdown in the transition to carbon neutrality and the spread of AI. To ensure we keep pace with these major changes, we will strive for both the growth and stability of our business. We will achieve this by continuously and promptly implementing necessary reforms while securing a certain level of profit and by proactively investing in areas with high growth potential. Thank you for your attention.